Operator: Good day, and thank you for standing by. Welcome to the LegalZoom's Fourth Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's call is being recorded. I would now like to hand it over to your speaker, Madeleine Crane, Head of Investor Relations. Please go ahead.
Madeleine Crane: Thank you, operator. Welcome to LegalZoom's Fourth Quarter and Full Year 2025 Earnings Conference Call. Joining me today is Jeff Stibel, our Chairman and Chief Executive Officer; and Noel Watson, our Chief Operating Officer and Chief Financial Officer. As a reminder, we will be making forward-looking statements on this call. These forward-looking statements can be identified by the use of words such as believe, expect, plan, anticipate, will, intend, and similar expressions, and are not and should not be relied upon as a guarantee of future performance or results. Such forward-looking statements are based on management's assumptions and expectations and information available to us as of today's date. These forward-looking statements are also subject to risks and uncertainties that could cause actual results to differ materially from such statements. These risks and uncertainties are referred to in the press release we issued today and in the Risk Factors section of our most recent quarterly report on Form 10-Q filed with the Securities and Exchange Commission. Except as required by law, we do not plan to publicly update or revise any forward-looking statements, whether as a result of any new information, future events or otherwise. In addition, we will also discuss certain non-GAAP financial measures. We use non-GAAP measures in making decisions regarding our business, and we believe these measures provide helpful information to investors. These non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations of all non-GAAP measures to the most directly comparable GAAP measures are set forth in our investor presentation, which can be found on the Investor Relations section of our website at investors.legalzoom.com. I will now turn the call over to Jeff.
Jeffrey Stibel: Thank you, Madeleine, and thank you all for joining our call. 2026 marks LegalZoom's 25th anniversary, reflecting our longevity and evolution as a company. Our founders set out to democratize law by transforming how people navigate the legal system. Today, AI is making legal work easier to start. LegalZoom makes it safe and seamless to finish. Since I became CEO, we have been steadily refocusing our business to capture the AI opportunity while recognizing that certain tasks and complex legal matters will always require human judgment and supervision. We are winning by combining intuitive technology with trusted experts, strong execution and ongoing compliance. In short, we solved the last mile with humans in the loop. Our performance in 2025 is an early validation of our strategy. I'm proud of our results, but I am even more excited for what's to come. We entered 2026 from a position of strength. Let me remind you of our strategy, how we're winning and why it's durable? Our goal is to be the trusted guardians of small businesses and individuals lives and aspirations, enabled by the best technology available. We do this through our ecosystem of AI and expert powered legal, compliance and business management solutions that support small businesses as they form and grow. Our strategy is simple, automate what can be automated and then win through deep expertise and high-touch service where it matters most. AI can help you start. LegalZoom helps you get it done. Today, more customers are starting with AI platforms like ChatGPT, Gemini, Claude and Perplexity, getting information, document reviews and insights while increasingly trying to complete complex tasks. We believe AI tools are accelerating entrepreneurship by lowering barriers to starting and running a business, as evidenced by the data, U.S. business formations have accelerated over the last few quarters. We suspect some of this is anomalous, but we believe AI is a meaningful tailwind. Crucially, this is expanding our addressable market, and we plan to capture more of that market but not with the old software-only playbook. As our market expands, we will leverage AI to continue to lead in what can be automated, but we recognized early that long-term growth cannot come from automation alone. That's why in 2023, we moved our flagship automated formation product to free, choosing to cannibalize our own business before the market did. Here is the key insight. Defense alone is not a strategy. We believe durable growth will come from what AI cannot automate, nuance, judgment, execution and accountability. Over the past 2 years, we've laid the foundation for the shift by strengthening our subscription business, reorienting our go-to-market strategy to focus on higher-value customers and scaling AI while strategically integrating human experts into the workflow at critical junctures. Better still, a human in the loop also increases conversion and attachment across our automated products because customers move forward with confidence knowing we stand behind that. This brings us to the opportunity ahead. We are expanding beyond formations to serve existing businesses. We are confident this will enable us to capture a greater share of our serviceable addressable market by broadening our customer base and driving higher wallet share. Human expertise applied where it matters most will drive our growth. We are capturing this opportunity through our human-in-the-loop strategy, which is 2 layers, expert and service. Our expert layer includes our legal advice subscriptions delivered through our nationwide attorney network, trademark and IP services delivered by our owned law firm and most recently, our white glove concierge offerings. We expect these products to be our fastest growing. This is where we solve the last mile for AI by inserting the right level of human review by building trust, ensuring quality, maintaining confidentiality and meeting ongoing regulatory requirements. Our service layer, products like registered agent and virtual mail, benefits from structural advantages tied to regulation, physical presence and human execution, making it inherently durable. Over the past 2 years, we've enhanced service levels and have grown through premium pricing and retention improvements. These products anchor long-term relationships and function as a platform from which we can expand into higher-value services across our entire existing base. Our near-term goal is to accelerate growth in our human-in-the-loop strategy by prioritizing high-value subscription products. Longer term, as we expand our go-to-market efforts to reach established businesses, we expect to capture accelerated share of our serviceable addressable market. As Noel will detail, we will leverage our partnerships both with key AI platforms and our broader partner channel as we unlock to activate and scale. To sum up, we are leveraging AI to grow efficiently, scaling human-in-the-loop services and expanding our ecosystem to help small businesses stay compliant, protective and confident over time. AI may change how businesses begin but LegalZoom is how they thrive. We are uniquely positioned to deliver what others cannot. The last mile, real accountability, real expertise and real outcomes. Our 25-year foundation of data, trust and legal infrastructure gives us a moat that compounds as technology evolves. This positions us for durable growth not just in 2026 but for decades to come. With that, I'll say thank you for your continued support and turn it over to Noel. Noel?
Noel Watson: Thanks, Jeff, and good afternoon, everyone. Before I walk through the results and our outlook, I want to briefly reanchor on our financial priorities. Over the past year, our focus has been clear: driving durable, high-quality subscription growth while scaling efficiencies across the business to expand margins. We made meaningful progress on both in 2025, and we expect that momentum to continue in 2026. As you heard earlier, our strategy is focused on building a more resilient revenue base through higher value subscription offerings and AI-enabled human-in-the-loop services. These efforts are improving unit economics, driving predictable revenue and reinforcing our competitive position where execution and expertise matter most. With that context, I'll start with our financial results and then discuss our outlook for the year. For the full year 2025, we grew revenue 11% to $756 million, more than double the growth rate from our initial outlook, inclusive of the Formation Nation acquisition. This performance reflects successful integration and incremental growth of Formation Nation, organic revenue growth of 3% and strength across our subscription portfolio. Full year subscription revenue increased 13%, the result of continued focus on higher-value customers and differentiated premium human-in-the-loop service offerings. We also delivered strong profitability. Full year adjusted EBITDA was $172 million representing a 23% margin, up approximately 100 basis points year-over-year. We expanded margins while continuing to invest in AI and product innovation, demonstrating our ability to grow efficiently and with discipline. Turning to our fourth quarter results. Total revenue was $190 million in the quarter, reflecting growth of 18%. Subscription revenue increased 20% to $131 million marking the fourth consecutive quarter of accelerating growth. Subscription revenue was driven by strength in our registered agent and compliance offerings, along with contributions from Virtual Mail, our 1-800Accountant partnership and Formation Nation. This performance reflects the combined impact of several initiatives executed throughout the year, including pricing actions and improved retention in our registered agent and compliance offerings. We ended the quarter with approximately 1.94 million subscription units, up 10% year-over-year. Unit growth was driven by increased Virtual Mail adoption, the inclusion of Formation Nation subscriptions and bundled offerings that combine bookkeeping and legal advisory services with certain Formation products. We expect modest unit growth in 2026 as we fully lap the bundling of these offerings. ARPU was $266 for the quarter, up 1% year-over-year. This reflects the early benefit of our focus on ARPU expansion, particularly in higher-touch human-led services, partially offset by bundled subscriptions that included lower-priced offerings. Looking ahead to 2026, we expect ARPU to be an important driver of subscription revenue growth as we see a customer mix shift toward higher-value subscriptions, including legal plans, compliance and concierge where human expertise, regulatory rigor and ongoing engagement matter most. This mix shift toward higher-value offerings reflects the early success of our human-in-the-loop strategy. We continue to see encouraging adoption of our concierge product suite. These white glove do-it-for-me offerings provide one-on-one guidance and related full-service filing and fulfillment services, allowing customers to offload complexity and focus on running their business. Today, we are selling our concierge subscription offerings online and directly through our sales force. At an average price of over $1,100 per year, they are driving stronger lifetime value and higher quality customer relationships. Turning to transactions. Revenue increased 12% to $59 million. driven largely by Formation Nation and growth in annual report filings. This was partially offset by the expected decline in BOIR revenue. Transaction units declined 1% to 239,000, reflecting the elimination of BOIR activity, partially offset by Formation Nation transactions and higher annual report volumes. Excluding BOIR and Formation Nation, transaction units increased 5%. We processed 112,000 business formations in the quarter, representing 17% year-over-year growth. This increase was driven by Formation Nation and continued growth in formations acquired through our partner channel. This year, we aim to further leverage our partner channel to acquire high-quality small businesses. In 2025, we laid the foundation to scale by modernizing our partner platform building new embedded partner experiences and adding more than 100 partners and collaborators, including Perplexity, OpenAI's ChatGPT, VistaPrint, SoFi and American Express. In 2026, we plan to build on this momentum as we deepen these relationships, expand embedded integrations and onboard a strong pipeline of SMB-focused brands. Average order value was $248 for the quarter, up 13% year-over-year, driven by increased adoption of higher-priced concierge services and the elimination of lower-value BOIR transactions. Looking ahead, we expect transaction revenue growth in 2026 to benefit from higher value customer acquisition and growth in our concierge suite. Finally, deferred revenue declined by $10 million sequentially, reflecting normal seasonality in the business. Turning to profitability, where all of the following metrics are on a non-GAAP basis. Fourth quarter gross margin was 71%, flat with the prior year period. Sales and marketing costs were $56 million or 30% of revenue, an increase of 29% from prior year. Customer acquisition marketing costs increased $5 million or 13%. You may recall last year, we tested lower performance marketing spend levels to evaluate efficiencies. In 2026, we expect to continue investing in brand and partner channel initiatives concentrated in Q1, resulting in CAM spend increasing slightly faster than revenue. Non-CAM sales and marketing expenses increased $8 million or 103% from the addition of Formation Nation and investments in our concierge sales team. Technology and development costs were $14 million, up 5%. General and administrative expenses were $15 million, an increase of $1 million or 10%. Our strong execution drove adjusted EBITDA of $50 million, representing a margin of 26%. Free cash flow was $28 million in the quarter, down 22% compared to $36 million for the same period in 2024. Our free cash flow decrease was largely due to the timing of changes in working capital. For the full year, free cash flow was a record $148 million, up 48% year-over-year. We ended the quarter with cash and cash equivalents of $203 million. Our cash position decreased by $34 million versus Q3 2025, driven by share repurchases, partially offset by strong free cash flow generation. During the quarter, we repurchased approximately 4.3 million shares of our common stock for approximately $42 million. For the full year, we returned approximately $80 million to shareholders through share repurchases, repurchasing 8.3 million shares of our common stock at an average price of $9.71 per share. Through consistent share repurchases since our IPO, we've reduced our share count by approximately 10%. As of December 31, 2025, we had approximately $70 million authorized and available under our share repurchase authorization. So far in Q1, we have remained active in the market. As a reflection of our confidence in the business, our Board of Directors approved a $100 million increase to our existing share repurchase authorization. Our $100 million revolving credit facility remains undrawn. Supported by a strong cash position and robust free cash flow generation, we intend to continue to balance returning capital to our shareholders, investing in high-growth areas of our business and selectively assessing strategic M&A opportunities. Now turning to our outlook. We feel confident in the trajectory of the business as we exit 2025 and the stronger, more scalable foundation we are operating on. This positions us well to continue to drive high-quality growth even as we lap several initiatives from last year. For the full year, we expect revenue in the range of $805 million to $825 million, representing approximately 8% year-over-year growth at the midpoint. This compares to 3% organic growth last year, representing meaningful acceleration. Critically, the acceleration is being driven by contributions from higher value offerings as we prioritize quality customer acquisition and our human-in-the-loop strategy. For the full year, we expect to achieve adjusted EBITDA in the range of $190 million to $200 million or growth of 13% at the midpoint. Our outlook reflects improved gross margins and disciplined cost management, partially offset by higher product and marketing investments focused on higher value and established business customer acquisition. Of note, we continue to be disciplined with head count as our organization onboards more AI and technology into our processes. Relatedly, we recently completed a gross reduction in headcount of 5% earlier this month, allowing for improved operating leverage while preserving investment in high-growth initiatives. For the first quarter, we expect revenue in the range of $200 million to $203 million or 10% growth at the midpoint. This includes continued execution of our initiatives and balanced growth across transaction and subscription revenue. And we expect to achieve adjusted EBITDA in the range of $34 million to $36 million, representing a 5% year-over-year decline at the midpoint. This reflects a shift in the timing of our CAM investments with brand spend and partner channel investments weighted more heavily toward the beginning of the year to align with peak business formation seasonality. As reflected in our full year guidance, we expect a stronger year-over-year adjusted EBITDA performance over the remainder of 2026. In closing, we've never been more optimistic about the future of LegalZoom and the opportunities that lie ahead. The transformational progress we have made uniquely positions us to lead in the online legal services space as the only company that combines AI-assisted legal services with human expertise at scale to deliver trustworthy, high-value products to small businesses. Through a series of high-impact initiatives, we are confident in our ability to drive strong financial performance as we further differentiate LegalZoom's competitive positioning. I'd like to thank the entire team for their efforts and dedication to our success. And with that, I will now turn the call back to the operator for Q&A. Operator?
Operator: [Operator Instructions] Our first question will come from the line of Ella Smith from JPMorgan.
Eleanor Smith: So first, Jeff, maybe for you. Are there any early metrics on how the concierge product is doing? And to what extent is that factored into your 2026 expectations?
Jeffrey Stibel: Thank you, Ella. There are some early proof points and the green shoots, and we have factored those in. That said, we factored them in, in a conservative way. We're still in the early innings. We're still launching products regularly. We continue to launch products, but the success that we've seen is quite encouraging. And it's one of the reasons why we said this will become one of our biggest growth drivers.
Eleanor Smith: Great. And given the strength of the business formation environment, do you see any likeliness of sizing up customer acquisition marketing throughout the year?
Jeffrey Stibel: We do. And you see this to some extent, with our Q1 marketing and we accelerated a bit of that spend earlier in the year as a result. What we're looking for are the right types of customers, not just all customers who are forming, but the ones who will go through their life cycle alongside us. And we have gotten really, really good at identifying those, targeting those and marking to them, both through traditional marketing means through our brand advertising and ultimately through the partner channel.
Noel Watson: And just to add, Ella, the Q1 incremental marketing spend is driven primarily by brand. And so that's a message that we want to get out there early. That's their peak seasonality in terms of customer demand. And you'll see for the full year, we're still expecting CAM spend to be relatively in line from a percent of revenue standpoint for the full year, maybe a slight -- we have it growing slightly faster than revenue, but the timing throughout the year will be a little bit more optimized to our peak seasonality. And the other thing to mention is our marketing is performance-based, right? So if we see strength in demand, we will spend up into that. And if we see some softer demand, then it adjusts appropriately as well.
Operator: Our next question will come from the line of Trevor Young from Barclays.
Trevor Young: Great. Two for me. First, just on the revenue growth guide and the cadence throughout the year. It does imply a bit of a step down for the full year, kind of starting the year in 1Q at 11% at the high end full year 9%. Is that just a function of the tougher compares as the year goes on, lapping Formation Nation here in 1Q? Or is there something else going on? And then my second question for Jeff kind of relatedly, what needs to go right from here to be a durable double-digit grower? You've said in the past that you intend to accelerate growth without having to dip into the margins. And my rough math is you grew kind of high single digits organic in '25 and '26 is somewhere around kind of stable or slight acceleration in that upper half of the guide. So what needs to go right to get back to double-digit growth durably?
Noel Watson: Yes. Thanks for the question, Trevor. I think importantly and excitingly, the outperformance we saw in Q4 was driven by several different initiatives where we're seeing strength in the business. We mentioned in our prepared remarks, our compliance-related retention rates are improving, which we're really excited about. I think that speaks generally to the health of our customer base in the broader environment, but we're also seeing strength in the younger cohorts, which we think is a reflection or a signal of some of the value improvements we've made in terms of the delivery of our service. We also saw a strength in Virtual Mail, Formation Nation, our partner channel. So lots of initiatives that we expect to carry forward and drive growth in 2026. But to your point, there are some meaningful initiatives that were really successful in 2025 and drove growth that are creating some comping challenges and grow overs including Formation Nation, our 1-800 Accountant tax partnerships, some pricing that we did last year. And those do accelerate throughout the year. So you hit the nail on the head. That is what is creating some of the decel that you see from Q1 relative to the full year guide.
Jeffrey Stibel: And to address your second question, which is very much related to the first and similar to what we were talking about earlier with Ella's question and as well, what we talked about at your conference when we dug into the things that need to happen, we've laid most of the groundwork there. And I think we're being appropriately smart and thoughtful about what our guide is in '26. But the reality is our guide does show organic acceleration, and it's already pretty significant. To shift over into the double-digit side where we want to be, where we are looking to be as we come out of '26 and into '27, what needs to go right is this human-in-the-loop strategy. First and foremost, it needs to expand our serviceable addressable market. We talked about this a number of times. This allows us to penetrate into a broader set of small businesses, those who are established, those who will give us greater share of wallet and those who are going to grow with us and such that we can grow alongside them. And then second, as we look at this AI opportunity, it also incrementally drives the SAM in a different way in that what you're doing is you're opening up a market of individuals, mainly small business owners who didn't know they previously had a legal problem. And we are already seeing that now. So we're seeing green shoots on the market expansion and then we're able to capture those, clip those with the new products that we're developing. So as we deploy more and more products, as we start to lap the 1-year indicator on subscription so that we can see what churn looks like and retention, that's where we're going to have increasing confidence and be able to increase that guide.
Operator: Next question come from the line of Michael McGovern from Bank of America.
Michael McGovern: I guess could you speak to the conversations that are ongoing with some of your partners, I think you mentioned Perplexity, OpenAI. How -- can you update us on like the mechanics of how you get to being that last-mile delivery type of provider for legal services for LLMs and what does that kind of handoff look like from the middle mile to the last mile in that scenario?
Jeffrey Stibel: Great question, something we're deeply focused on, something I am personally incredibly excited about, and have taken the initiative and lead alongside our business development team and the operations and technology folks. The bottom line is the right answer is we don't know and they don't know yet. However, both parties have identified a problem, whether AI is able to complete the first 80%, 85% or 90% can be in dispute. Whether they will be able to finish the job for most small businesses is not in dispute. There is no question that more and more people are self-identifying as having a legal issue. And what we want to do is make sure that we are front and center and perhaps the only solution in many cases to solve that last mile. And when you think about the infrastructure that we have, thousands of network lawyers and owned and operated law firm, the ability to tackle national matters, local matters, state matters, IP matters, personal matters, there really isn't anyone on the technology side positioned at all, forget well positioned to tackle the problem of I've reviewed something, I've identified some issues. I either feel reasonably comfortable with like a second opinion or I don't even understand what I'm supposed to be signing outside of LegalZoom. And that's where we come in, and we've been rapidly working both on the partnership side and on the technology and product integration side to make sure that we are there when these technologies actually get a customer to an awareness stage and 80% stage and then now what? And we want to be that solution to the now what.
Michael McGovern: Got it. And a quick follow-up. I think in the past, you've talked about how you're relatively platform-agnostic, if you will, when it comes to LLMs. Is it safe to say you're attempting to have more and more conversations throughout the industry longer term, expand partners longer term?
Jeffrey Stibel: Absolutely. That is that statement is spot on.
Operator: Next question will come from the line of Elizabeth Porter from Morgan Stanley.
Lucas Cerisola: This is Lucas Cerisola on for Elizabeth Porter tonight. Could you talk to the contribution from Formation Nation to both subscription and transaction revenue in Q4? And how might that progress throughout the year if new business formations remain strong?
Noel Watson: Yes. This is Noel. I'll take that question. So in Q4, Formation Nation contributed about $9.8 million on the transaction side and $5.7 million in subscription revenue. Formation Nation, since we acquired them, the business has performed really nicely. A lot of that stems from the integration and the sharing of resources and knowledge between the 2 groups. And we have an expectation that, that business will continue to grow in 2026. So we're seeing growth throughout 2025, and the expectation is that momentum carries forward.
Lucas Cerisola: Got it. Super helpful. And then how do you think about the additional investments needed to ramp up the human-in-the-loop and last-mile services within the business? And then as you expand into new products next year, how that progresses?
Jeffrey Stibel: Yes. I'll take it at a high level and I'll maybe speak to any specifics. There will and have been and will continue to be significant investment going into that. That's at the high level. Underneath, we're seeing material savings in other areas. Both of these are driven by AI. One is strategic, shifting to that human-in-the-loop. The other is tactical, driving AI throughout our organizations to create savings that we can use to deliver what we need to do on the product side for human-in-the-loop and continue to drive margin expansion. And you can see this in the dichotomy between a really strong print in Q4, accelerated growth into 2026 and beyond. Yet we did an approximately 5% reduction in force that we just announced because we were able to do it with some of the technology efficiency that we've driven throughout the organization.
Noel Watson: Yes. And I would just say that you can see that reflected in our guide. We've been very conscious of balancing both the focus on revenue growth as well as profitability. And so we've realized margin improvements for several consecutive years now, and our guide suggests a margin improvement, both from a gross margin standpoint and an EBITDA margin standpoint in 2026. So those efficiencies -- and we still feel like we're middle innings. We're getting more efficient every day. We're leveraging a lot of the tools that folks are talking about in market to generate efficiencies. And as Jeff said, we're balancing -- reinvesting some of those in growth and taking some to the bottom line.
Operator: Our next question will come from the line of Matt Condon from Citizens.
Matthew Condon: My first one is just as you've continued to focus more on acquiring existing businesses and less on business formation. Have you seen any material change in the top of funnel metrics to date? Or is that more of an opportunity as we move into 2026? And then my second question is just on competitive dynamics. Just have you seen or observed any meaningful changes in the competitive landscape over the past few quarters? Any new entrances, anything different from existing players? And just how do we think about competitive intensity in 2026?
Jeffrey Stibel: You bet. Those questions are actually interrelated. So I'll again try to take those at a high level. When you look at the opportunity for existing businesses, as we mentioned in the last couple of quarters, we've started with our own base of businesses, and we have seen proof points and growth therein. We have gone from there to leverage partners. It is probably one of the biggest unlocks in the strategy because we can now go to an SMB ecosystem of partners to start to drive customers that way and leverage other people's channels. And we've had some success, some early success with the partner channel and driving partnerships. And ultimately, we think that the real opportunity is going to come in '26 and beyond as we start to grow those partnerships and then do direct marketing. But again, that's really a '27 and beyond point more than anything. And then on the competitive intensity side, sorry, I didn't mean to ignore that. Although we haven't seen much. Frankly, we look at much of what people have considered as competitors, potential partners for us because what we are doing with this human-in-the-loop strategy isn't something that those competitors can do. They are largely pure-play software providers. So from my standpoint, our standpoint, the real focus is how can we work with them and dominate this larger expanded SAM in such a way that what you might historically think of as a competitor should actually want to partner with us or might need to actually send customers our way just so that they can solve those customers' problems.
Operator: Next question will come from the line of Patrick McIlwee from William Blair.
Patrick McIlwee: Great results here. So my first question, I believe in September of 2025, you lapped some of the changes you made to your compliance pricing and your bundling strategy. Noel, with that said, is there any way you can frame or quantify the impact that had over the last year, just as we think about how impressive your fourth consecutive quarter of accelerating growth was?
Noel Watson: Yes. I think first of all, the growth acceleration came from multiple fronts. Part of it was the bundling. Part of it was pricing action. Part of it was just some of our other products attaching well. And then finally starting to see some improvement in retention as well. So it was really multifaceted. I will say the bundling that we did through -- we did multiple different trials of different bundles throughout the year. That's something that we're going to continue to do. We're going to continue to test in that regard and include different products. What we saw was that really helped progress us along our focus on quality share and driving quality customers to us. And it really impacted SKU mix. So we started to see people move up SKU into more of our premium SKUs and some of the foundation that supported what we saw on the concierge side. So it has different tentacles and there are multiple fronts driving it. I wouldn't call out any one in particular, as being the clear driver of growth.
Patrick McIlwee: Okay. And I know formations grew substantially year-over-year, understanding that's not a big focus anymore, but obviously, that grew largely year-over-year. You've got a larger denominator there, but it does look like your share slipped a bit more than normal even with the contribution of Formation Nation. I mean is that largely a result of your focus on higher intent customers? Or how should we think about your pursuit of share versus customer LTV going forward?
Noel Watson: Yes. This is something we've been talking about for a while, where we are keenly focused on quality share. We want customers that are serious about starting a business or willing to make an investment in that business. And we think those customers we can help and they'll sustain longer, which creates more of an LTV opportunity for us. And so from a macro standpoint, I'd say the macro has been supportive. We feel like it's a very healthy environment, but we think some of the census reporting is anomalous. And we've seen it where it's been weak, and we don't feel that in our business. It's been stronger. We don't feel that same impact that we had previously. And I think that's partly because of this focus on quality share. It's partly because we've increased the percentage of our business that's subscription-oriented. So we generally take a neutral position when we think about our plan and expectations moving forward from a macro standpoint. And our expectation is that we will meet the guidance that we set out for the year regardless of the macro backdrop.
Operator: Our next question will come from the line of Brent Thill from Jefferies.
Sang-Jin Byun: This is John Byun on behalf of Brent Thill. Just two questions. One, you mentioned 3% organic growth in '25. And I want to see how we should think about the 8% guide that you gave? I mean is that comparable to that 3%? And obviously, it depends on how you treat Formation Nation, I guess. And then on the concierge products, I mean you've rolled out several, I suppose, and -- which one is doing better where you're seeing more traction, more success?
Noel Watson: Yes. On the guidance, yes, you could think about -- we think about those as apples-to-apples. There's a little rounding errors around that in terms of we're not taking any credit in that 3% for growth that we drove post the acquisition within Formation Nation. And then this year, there's a little bit of inorganic from the timing of the acquisition last year. But that's the reason why we called that out is to really shed a light on the fact that organically the business we expect to accelerate this year from a full year basis.
Jeffrey Stibel: Yes. We're actually pretty excited about the organic trajectory. I'd say we're pleased but not satisfied. We can do better, but it's in the right direction. And on concierge, I would say our compliance-oriented products around concierge feels like the strongest uptake and adoption right now and the biggest opportunity for us long term. So that's the predominant one that we're focused on because it is so opaque between regional, state and national levels, how to remain compliant, particularly how that changes over time, and that's where our concierge experts and specialists really add a lot of value.
Noel Watson: And one of the ways we really activate customers within our base is through communication around their compliance status, right? Many businesses, they start -- they're in compliance when they start their business, but over time, their businesses evolve and change and their compliance -- either regulatory requirements change or the business becomes more complex and their individual set of requirements change, and they fall out of compliance. And so starting with reinstatement by letting folks know that they're out of compliance and those folks responding saying, "Hey, I need your help getting reinstated. And then clearly, I also need help managing my compliance moving forward." So that's been a real successful approach for us as well. And that really extends that learning, we think, will extend into the opportunity for existing businesses.
Operator: Our next question will come from the line of Kishan Patel from Raymond James.
Kishan Patel: This is Kish Patel on for Josh Beck. How are you thinking about the potential impact to key workflows or billing terms across the core business and human expert network as agentic legal tools and software start to proliferate?
Jeffrey Stibel: I mean for us, it's actually an accelerant in two respects. First, internally because we use so many of those workflows to actually power our human-in-the-loop strategy, it actually allows us to scale more cost effectively. And externally, it drives increased SAM, serviceable addressable market. So as we said earlier, this is a big unlock for us to increase our market and market share of those established and existing businesses.
Kishan Patel: Got it. And can you share any trends through the year and into 1Q '26 on how AI search is impacting traffic and conversions?
Jeffrey Stibel: Sure. I mean, look, it's still pretty early in terms of what is happening, but the trend should look no different and look no different than what you're seeing overall in the general market. You're seeing less and less traffic and quality traffic come through traditional search engines and more and more coming from AI queries. And we're seeing that as well, and we're actually taking advantage of that as what we see as a key opportunity into '26 and '27.
Noel Watson: Yes. I think one other trend to call out there is when you think about the traffic coming through, it's higher qualified traffic. There's more folks that are getting question answered without -- while still in AI experience. So the ones that actually come through tend to be more highly qualified and convert better.
Operator: Our next question will come from the line of Ron Josey from Citi.
Ronald Josey: Jeff, you talked about reorienting to higher-value clients and broadening the customer base. Just talk to us about the tools the team is using to do just that and the progress you're making. And then, Noel, on the shift in timing on marketing, it makes a lot of sense given the seasonality here in the year, but talk to us about the brand focus and where you plan to be ramping the spend on marketing? And when do you think you'll see the returns, is this a 1Q thing? Or is this a quarter lag?
Jeffrey Stibel: Great. Thank you. On that first question with respect to the tools that we're using, I'll break it up into 2 categories, and then probably break it down even further. On the tools question directly, what you're asking, we're leveraging a variety of different AI systems. What we're not doing is leveraging specialized systems. So most of them are on the generalized side. We discussed what we're doing with Perplexity and with OpenAI and ChatGPT. We're seeing huge efficiency gains and advantages that help us drive new product deployment at a faster rate, which is absolutely critical as we focus on the other side of the toolkit which are these experts that we're bringing in. We, right out of the gate, when I joined, started to bring in that service layer back that we didn't have prior, and we've now been filling that out with layers on top of that. So we went from service and sales to concierge, think of those as business consultants and business advisers to our legal network, which we're getting more and more entwined into our products and becoming more customer facing. What is effectively allowing us to do is take a model that wouldn't have scaled prior because if you had a lawyer, they might be able to manage 10 clients a day and get the lawyer to leverage technology or the concierge rep to leverage technology or the service rep to leverage technology to go from 10 customers to 100 to 1,000 and then on so that it scales proportionately or super linearly even in some cases such that we can expand margins and drive more throughput while satisfying our customers' problems. So we are rapidly deploying technology. Some of it is owned and operated, and we're doing it in-house. This is particularly around our data on the proprietary side. But most of it, we're leveraging generalized systems and specializing it to our various use cases.
Noel Watson: Yes. And on the brand side, we've been very happy with some of the changes we made throughout 2025, the new assets that we created, the messaging has worked really well. And what we saw is as we increase brand as a percentage of our total CAM spend, we really still saw a strong ROAS without some of that deferred realization of value that you would otherwise would expect. And so we're leaning further into that, in particular, in Q1, which we think is well timed, and that's through connected TV, YouTube, social channels, we're trying to stay very diversified with the places that we post our brand messaging. And we expect that to pay dividends in a relatively short period of time. As a reminder, with the heavy subscription orientation of the business from a revenue standpoint, if you generate bookings in Q1, you'll realize some of that revenue throughout the year. But that's why we're making a...
Jeffrey Stibel: And the final piece, and this speaks to the spend that we're doing in brand right now is this also drives forward into our partner strategy. As we show the brand strength and the quality of our human-in-the-loop strategy intertwined with that trust that comes with an answer and a service that comes from LegalZoom, that helps drive that partner strategy forward as well.
Operator: Next question will come from the line of Stephen Ju from UBS.
Stephen Ju: If I heard you guys correctly on the prepared remarks section, it seems like Formation Nation is driving growth in subscription units as well. So can you talk about the success that you might be having in moving that customer base from what was probably historically, the one-and-done transaction to upselling them other products from the broader sort of LegalZoom portfolio?
Jeffrey Stibel: Sure. And look, the success is similar to what we have done in LegalZoom proper. I would argue that if anything, it is slower than what we would like. And I think that there is even more to be done. But remember, this is our value price service offering. So we have been driving more and more of the lower cost or lower propensity to purchase customers towards those brands, particularly Inc Authority. But they continue to have strong success both converting in general and then shifting to subscription where appropriate. So I actually suspect there'll be more to come.
Operator: All right. Thank you. I'm not showing any further questions at this time. With that, this concludes the question-and-answer session. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.